Operator: Good day everyone and welcome to the Helen of Troy Limited First Quarter 2016 Earnings Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Jack Jancin, Senior Vice President of Corporate Business Development. You may begin.
Jack Jancin: Good afternoon everyone and welcome to Helen of Troy’s first quarter and fiscal year 2016 earnings conference call. The agenda for the call this afternoon is as follows. I’ll begin with a brief discussion of forward-looking statements, Mr. Julien Mininberg the Company’s CEO will comment on the financial performance and key accomplishments of the quarter and then update you on areas of focus for fiscal year 2016. Then Mr. Brian Grass, the Company’s CFO, will review the financials in more detail and comment on the Company’s outlook for fiscal year 2016. Following this, Mr. Mininberg and Mr. Grass will take questions you have for us today. This conference call may contain certain forward-looking statements that are based on management’s current expectation with respect to future events or financial performance. Generally, the words anticipates, believes, expects and other similar words identify forward-looking statements. Forward-looking statements are subject to a number of risks and uncertainties that could cause anticipated results to differ materially from actual results. This conference call may also include information that may be considered non-GAAP financial information. These non-GAAP measures are not an alternative to GAAP financial information and may be calculated differently than the non-GAAP financial information disclosed by other companies. The company cautions listeners not to place undue reliance on forward-looking statements or non-GAAP information. Before I turn the conference call over to Mr. Mininberg, I’d like to inform all interested parties that a copy of today’s earnings release has been posted to the company’s Web site at www.hotus.com. The earnings release contains tables that reconcile non-GAAP financial measures to their corresponding GAAP based measures. The release can be assessed by selecting the Investor Relations tab on the Company’s home page and then the news tab. I will now turn the conference call over to Mr. Mininberg.
Julien Mininberg: Thank you, Jack. Good afternoon everyone. Our first quarter marked a solid start for fiscal '16 positioning us well to achieve our goals for the year. From a number standpoint we reported a double-digit increase in net sales 10.8% and grew adjusted earnings per share 1.9% and that came despite greater than expected impact from foreign currency and the West Coast Port disruption. The quarter was led by our healthcare and home environment segment driven by new product introductions, relatively strong end to the cold and flu season and the VapoSteam acquisition. This segment was the one most impacted by foreign currency headwinds. The Healthy Directions acquisitions contributed almost $40 million to sales revenue. Our Houseware segment had $1.6 million sales decline in the quarter as strong point of sale activity and new product introductions were offset by a shift in timing of customer orders and inventory levels at several key retailers. We reorganized and renamed our beauty segments formerly known as Personal Care. And while sales were down year-over-year in beauty we marked another quarter of progress towards stabilization. Overall I am pleased to see our key initiatives gain traction and believe we are on pace to achieve the objectives we have set for the year. We are progressing well on executing the seven key strategic priorities that guide our multi-year transformation. These were outlined in depth in our Investor Day in May. Thank you to all who attended. We were very much pleased to introduce you to our global leadership council to more of our products, to our culture and to our plants. We spoke specifically about progress to date and the initiatives we are implementing to further advance our strategic plan. I would encourage anyone who has not yet done so to listen to the replay that is available on the Investor Relations portion of our Web site. Today I'd like to update you on how our strategic priorities have advanced in this first quarter. The first strategy is to invest in our core. To advance it, we are making prudent investments in developing and launching new products, new go-to-market plans and new marketing activities for brands with leading positions and brands with the potential to grow market share. During the quarter we benefitted from a number of recent product launches including OXO’s innovative new GreenSaver product, which shipped in the spring. GreenSaver has been extremely well received at retail and is also getting great press. GreenSaver is a great example of the type of product that includes a higher margin consumable generating repeat cycle and improving our profitability. Consumables with repeat purchase cycles remain a key focus areas for the company. OXO GreenSaver also nicely illustrates the benefits of increased collaboration across Helen of Troy this time with the expertise in activated carbon from our pure water filtration group supporting OXO as they developed the product. In addition, during the quarter Healthy Directions launched a new Lung and Bronchial supplement under its best selling brand, Dr. Sinatra. We are investing behind new product development and launches in beauty as we work to reinvigorate that segment. We also invested in more efficient brand building for beauty by redirecting our marketing support towards higher pay out vehicles based on a recent quantitative analysis of marketing spend. The second strategy involves strategic disciplined M&A. As many of you are aware we closed two Vicks inhalant transactions during the quarter. We acquired the Vicks VapoSteam business, we also acquired a fully paid up license for the Vicks VapoPad trademark eliminating future royalty expense on these products. These transactions combined now the market leading Vicks devices that we have sold for nearly 20 years with additional consumables that sweeten our mix at an attractive valuation. We will continue to build upon our track record of accretive acquisitions as we are constantly looking at opportunities to expand in categories and geographies where we believe we can develop leadership market positions and carve out the competitive advantage. The third is focusing on consumer centric innovation. We've talked in the past about our increased focus on innovation based on in depth consumer and competitive understanding. During the quarter that focus manifested itself in four key areas. First, we reorganized to deliver product innovation in beauty, as our consumer market research has uncovered promising opportunities. Second, we added internal and external product design capability for beauty. Third, we benefitted from the new Braun thermometers as the cold and flu season ended in the quarter. Fourth, we announced the introduction of a premium line of kitchen electrics under the OXO On brand and look forward to launching them in the second half. I'm delighted to see OXO's first foray into electrics leveraging the company's expertise for electrical appliances in beauty, healthcare and home environment. As OXO enters this space we've have had terrific collaboration with our shared service teams, another example of shared services adding value company-wide. Separately during fiscal '16 we have applied our previous success in callus buffers now under the Dr. Scholl's brand name in North America, which includes consumables and are being marketed under a new distribution arrangement with good results. The Fourth strategy is to upgrade our organization and people systems. We've already highlighted the considerable amount of change implemented in this area including our global leadership council as well as the promotion of Proven Helen of Troy leaders and the recruitment of new talents into our organization. We have also rolled out our new compensation programs designed to retain and motivate top talent. To help implement our people system strategy worldwide, Lisa Kidd has joined Helen of Troy as Global Vice President of Human Resources. Lisa has a strong background in talent development, in globalization of shared services and in people systems. During Q1 we reorganized and renamed personal care into a global beauty organization under recently hired President, Leah Bailey. The reorganization includes a significantly streamlined approach to the retail and professional market, unifies multiple sales and marketing organizations and also key support functions in beauty such as finance, creative services and marketing support. The Fifth is to develop best-in-class shared services leveraging the new leadership and best practices we now have in place we are driving improved warehouse efficiency and inventory management. The improvements in information technology identified under the direction of our new CIO are critical enablers to realize the efficiency upgrades and cost savings in project, fuel for growth. The sixth is to attack waste. During our Investor Day in May we outlined our fuel for growth initiative in which we have identified at least $10 million of ongoing savings opportunities within shared services. 2 million of that was put into place in fiscal year 2015 and another 4 million has been put into place in '16. We are on track to achieve these goals and as previously indicated we are re-investing a portion of the savings to grow our core and to offset margin compression from foreign exchange. And the seventh is to improve asset efficiency and maintain our shareholder friendly policies. We are diligently focused on maintaining a strong balance sheet and our inventory levels have remained roughly in line with the prior year period even as sales have grown over 10%. We are eliminating lower productivity SKUs in beauty and improving our working capital efficiency. On the capital side, we effectively used our capital structure to make acquisitions and have nearly paid down the debt incurred from both the Healthy Directions and VapoSteam transactions. We will continue to use the strong cash flow generation of our business and financial flexibility of our balance sheet to invest in our core business first, search for accretive acquisitions and then consider a return of capital to shareholders. We will also continue to proactively engage with investors and analysts. In fact we will be presenting at CJS's New Idea Summer Conference next week and look forward to seeing those of who you will be attending. In summary I am very pleased with the strong work of Helen of Troy employees worldwide. These are being -- these employees are implementing our strategies with tremendous gusto. They're bearing fruit and putting the Company on a path to sustainably deliver our long-term targets. Our fiscal '16 guidance remains unchanged and our long-term targets include organic revenue growth of 2% to 3% per year. Average margin expansion targeted at 30 to 40 basis points per year and organic adjusted diluted EPS growth targeting 7% per year. And with that I would like to turn our call over to Brian Grass our CFO.
Brian Grass: Thank you, Julien. Good afternoon everyone. Before I begin discussing our first quarter fiscal year 2016 results, I would like to briefly touch upon foreign currency. We discussed this in depth on our fourth quarter call and I think it warrants review today given the significant impact we began to have at the close of fiscal year '15 and the expected impact for the full year in fiscal year '16 we have previously provided. As we've discussed in detail on our fourth quarter call, the weakening of foreign currencies against the U.S. dollar affects our company's results in several ways. First when the dollar strengthens it reduces our U.S. dollar reported net sales operating income and net income. However unlike some other multinational companies most of our sourcing is done in U.S. dollar so there is little to no reduction in our reported cost to goods sold when foreign currencies weaken. Further a large portion of our EMEA operating expenses are denominated in the Swiss franc which appreciated fairly significantly as other foreign currencies were weakening. This resulted in higher U.S. dollar reported operating expenses for our company in the first quarter compared to the same quarter last year. We also provided rule of thumb when thinking about the impact of foreign currency fluctuation on Helen of Troy’s results. For every $1 fluctuation in net sales from foreign currency as much as $0.60 to $0.70 could fall the operating income depending on the mix of the currencies and their relative volatility against the U.S. dollar. Second there is also an impact from the settlement of transactions in the re-measurement of the Company's monitory assets and liabilities denominated in foreign currencies which is recorded an SG&A as is the impact of settlements of any hedging transactions that the Company may enter into. We attempt to mitigate the impact of foreign currency fluctuations through price increases but our ability to take price increases is limited by market conditions and we often are not able to pass along the full impact. We also consider forward contracts to hedge against exchange rate risk. So with that I would like to start by highlighting the impact of foreign currency had on our results for the first quarter. Foreign currency exchange rate fluctuations reduced our reported net sales revenue by approximately $7.7 million or 2.5% year-over-year. The impact was slightly worse than assumed in our fiscal year 2016 outlook due to further weakening in the average euro and Mexican peso exchange rates during the first quarter. We also had net foreign exchange losses of 880,000 recorded in SG&A for the first quarter of fiscal year 2016 compared to a $30,000 loss in the same period last year. Now moving to my discussion, overall results were in line with our expectations despite several headwinds not included in our outlook. First as I mentioned the drag from foreign currency was slightly worse than expected. Second the West Coast port disruption adversely impacted sales mostly in our beauty segment. And lastly we experienced an estimated $1 million shift in Houseware segment customer orders out of the first quarter and into the second quarter. These factors were offset by sales growth in our healthcare home environment segments despite a currency drag of $5.2 million. There was also a favorable margin mix within the segment. Now moving on consolidated sales revenue was 345.3 million for the quarter a 10.8% increase over the year ago period which includes the decline in our core business of $6.5 million or 2.1% for the quarter. The decrease in core business sales revenue includes the negative impact of $7.7 million or 2.5% from the foreign currency fluctuations referred to previously. As Julien touched on our healthcare home environment segment achieved growth of 0.4% despite a foreign currency headwind of $5.2 million or 3.6%. The VapoSteam acquisition added $650,000 to sales for the two months of operations included in the quarter. The VapoSteam business is highly seasonal and is expected to peak in our third fiscal quarter so the sales included in the first quarter are not indicative of annualized results. The Houseware segment decline of 2.4% was primarily due to a shift in the timing of customer orders into the fourth quarter of fiscal year 2015 and into the second quarter of fiscal year 2016 as well as inventory adjustments several key retailers. Point of sale activity continues to be strong and we believe these impacts in the first quarter are temporary. Healthy Directions contributed 39.4 million in sales during the quarter. While we did experience a sales decline in our beauty segment of 4.7% or $4.9 million, approximately $2.2 million or 2.1% of the decline was due to foreign currency. Sales were also adversely impacted by the West Coast port disruption. The dispute ended in February but the resulting backlog had an impact on our first quarter results. Delivery times appear to have normalized in our second quarter. Consolidated gross profit was 41.5% in net sales compared to 38.3% in net sales in the first quarter of fiscal year '15. The 3.2 percentage point improvement was primarily due to three months of operations of nutritional supplement segment and the recent acquisition of VapoSteam which had a combined favorable impact of 4 percentage points on a consolidated gross profit margin. Gross profit margin in the core business declined by 0.8 percentage points compared to the same period last year primarily due to the negative impact of foreign currency fluctuations year-over-year. SG&A was 32.9% of net sales compared to 28% of net sales for the same period last year. The increase was primarily due to a higher relative SG&A ratio in the nutritional supplement segment which increased the SG&A ratio by 4.2 percentage points. The SG&A ratio in the core business excluding nutritional supplements and VapoSteam increased 0.8 percentage points primarily due to higher advertising marketing and product development expenditures, higher year-over-year net foreign currency exchange losses of 880,000 and higher compensation expense. Operating income of 26.5 million and includes non-cash asset impairment charges of 3 million. This compares to operating income of 23.1 million in the same period last year which included non-cash asset impairment charges of 9 million. Adjusted operating income excluding non-cash asset impairment charges, non-cash intangible assets, amortization expense and non-cash share based compensation was 38.4 million compared to 38.7 million in the same period last year. Adjusted operating margin was 11.1% compared to 12.4% in the same period last year primarily reflecting the drag from foreign currency. Income tax expense as a percentage of pre-tax income was 14.2% compared to 17% for the same period last year. The year-over-year comparison of our effective tax rate was primarily impacted by shifts in the mix of taxable income and our various tax jurisdictions. Net income was 20.4 million or $0.70 per diluted share on 29.1 million weighted average shares outstanding. This compares to net income in the first quarter of fiscal year '15 of 16.4 million or $0.55 per diluted share and 29.6 million shares. Adjusted income was 30.7 million or a $1.06 per diluted share compared to 30.8 million or a $1.04 per diluted share for the first quarter of fiscal year '15. Now moving on to our financial position at May 31st, 2015 accounts receivable was 210 million compared to 217.4 million at the same time last year. Receivable turnover was 57.1 days compared to 63.2 days the same time last year reflecting the favorable impact of Healthy Directions which collects the majority of its revenue before product is shipped to the customer. Inventory was roughly flat at 299.3 million compared to 293.1 million at the same time last year and includes $8.1 million of inventory from Healthy Directions that was not in our inventory balance last year. Inventory turnover remains flat at 2.7 compared to the same period last year. Total short and long-term debt increased to 438.8 million at May 31, 2015 compared to 425.7 million at May 31, 2014. The increase primarily reflects borrowings occurred in conjunction with the acquisitions of Healthy Directions for a 195.9 million and VapoSteam for 42.8 million largely offset by net repayments of almost 226 million. We ended the first quarter with the leverage ratio of 1.97 times compared to 1.93 times at the end of the fourth quarter of fiscal year 2015. Now I’d like to turn to our outlook for the fiscal year 2016. Please note that we’ve provided a reconciliation of fiscal year 2016 projected GAAP diluted EPS to non-GAAP adjusted diluted EPS in our earnings release issued this afternoon. As we’ve discussed results for the first quarter of the year fiscal year were in-line with our expectations and we’re maintaining our outlook for the full fiscal year 2016. We continue to expect consolidated net sales revenue in the range of 1.485 billion to 1.536 billion in GAAP diluted EPS in the range of $4.33 to $4.73. This includes projected sales and GAAP diluted EPS from the VapoSteam acquisition in the range of $10 million to $11 million and $0.03 to $0.08 per share respectively for the 11 months included in our fiscal year 2016 results. On a segment basis for fiscal year 2016 we continue to expect sales growth for Housewares and Healthy Directions to be in the mid single-digits and for healthcare home environment to be in the low single-digits. For beauty we continue to expect to see the sales decline in the low to mid single-digits. We continue to expect consolidated non-GAAP adjusted diluted EPS to be in the range of $5.40 to $5.85 which excludes after-tax non-cash asset impairment charges, non-cash share based compensation expense and intangible asset amortization expense. This includes adjusted diluted EPS for VapoSteam in the range of $0.04 to $0.11 per share. Our fiscal year 2016 outlook assumes foreign currency exchange rates for the balance of the fiscal year will remain at current levels. This is expected to negatively impact annual year-over-year net sales revenue by approximately $28 million, full year net income by approximately $17 million and full year earnings per share by approximately $0.59. We expect our fiscal year 2016 effective tax rates to range between 14% and 16% on an annual basis. The diluted EPS outlook is based on an estimated weighted average shares outstanding of 29 million for the full fiscal year 2016. Further, our outlook assumes that the severity of the cold/flu season will be in-line with historical averages. As a reminder, the most recent cold/flu season was above the average. The likelihood and potential impact of any fiscal year 2016 acquisitions, other than VapoSteam, further asset impairment charges, future foreign currency fluctuations, including any potential currency devaluation in Venezuela, or share repurchases are unknown and cannot be reasonably estimated, therefore, they are not included in our sales and earnings outlook. As a reminder, in fiscal year 2015, the company benefited from an after-tax gain of $0.24 per share from the amendment of a license agreement, and after-tax decrease and product liability estimates of $0.05 per share and tax benefits of $0.15 per share that are not expected to repeat in fiscal year '16. These items negatively impacted year-over-year comparison of adjusted diluted EPS to fiscal year 2016 by a combined $0.44. As mentioned, the year-over-year comparison is also negatively impacted by the estimated foreign currency impact of $0.59 in fiscal year 2016. Finally, we believe our fiscal year 2016 guidance reflects a balanced approach with respect to investment in organic growth and maintaining healthy margins. Our guidance reflects planned incremental investments in market research, innovation, new product development, and marketing and advertising of over $15 million. As we did on our fourth quarter call I’d like to reiterate that we continue to expect higher marketing and advertising spend as a percentage of sales in the first half of the fiscal year and support the key brands and growth initiatives leading into our peak selling season. And now I’d like to turn the call back over to Julien for some closing remarks.
Julien Mininberg: Thank you, Brian. Overall a good quarter and a good start to the fiscal year. We are growing the business, improving the organization and also the culture. We are making good progress executing our multi-year transformation strategy and we continue to invest in our business to drive product innovation, demand, long-term growth. I believe we are on track to achieve these objectives and that we have set for ourselves in the current fiscal year and also our long-term targets. With that I’d like to turn the call over to the operator to begin the question-and-answer portion.
Operator: Thank you. [Operator Instructions] We’ll take a question from Bob Labick with CJS Securities.
Bob Labick: I want to start with OXO, thank you for the explanation on the timing of sales. You have a bunch of exciting launches coming up in the second half in electrics as you mentioned, bakewares. Could you talk a little bit about the timing of sales for those when those might roll in and then also if you could talk about the marketing? I think Brian you just alluded to it at the end, talk about the timing of marketing if that was part of the delta in the margin that we saw in Q1 in OXO.
Brian Grass: Yes. I guess we'll hit the second part of it first and then Julien maybe you want to touch on the timing on introductions. So yes there is incremental investments that is occurring in the first and second quarters largely in support of key initiatives in our peak selling season in the third and fourth quarters. And so as we try to kind of point out at the end of Q4 and also in the Investor Day that the margins would be compressed slightly in the first and second quarters as a result of that incremental spend and then the benefit of that spend occurs in the third quarters and fourth quarters. And so there is a little bit more spend as a percentage of sales in the first half then there would be in the second half. Does that answer your question?
Bob Labick: Yes. Absolutely.
Julien Mininberg: Yes. And on that spend, Bob, we're beefing up the OXO Web site, beefing up the product knowledge level of in store reps, places like bed, bath and others as I think you yourself saw in the pots and pans we wanted to make the store level folks understand more those new pots and pans and that will pay off as we bring other new products to them in the back half. And on your question about launch timing we are planning to be in the market with the electrics and time to this holiday season. So I think late fall shipping and in the case of the bakeware it's a little too soon to get the detail on that one but also in the back half of our fiscal year.
Bob Labick: And then jumping over to the HHE sales were quite strong I think despite the FX and I thought you had a pretty tough European spends comparable as I remember, could you talk again a little bit like some of the drivers on the sales there.
Julien Mininberg: Yes. Appreciate that, I appreciate you recognizing the tough base in the history so growing over that base is always impressive and as Brian mentioned they climbed over 3.5 points of foreign exchange relate -- I think it was 5.2 million that he mentioned, so bravo; the thermometers helped a lot so you remember that we had those three new thermometers in the market on Braun. We got benefit from that as the cold and flu season which was above the average has sort of the last of its strength period which traditionally happens in March and April. So squarely in this quarter so they got the benefit of that. They also got the benefit while [fans][ph] weren’t their strongest piece of other parts of that business holding on strong, and then in the case of the growth to grow over that historical base, not so shabby. Health and home has a lot of good stuff planned for the rest of the fiscal year, we've got new professional thermometers coming online and other good drivers, so we're optimistic and as you've seen from our Investor Day and others we continue to be a very strong share performer and also a market share grower in air purifiers and we’re putting in plenty of fire power behind our pure water filter business to pump that one up as well.
Bob Labick: And then on Healthy Directions the sales were nice; we obviously haven’t seen a previous Q1 margins were down I think probably marketing related. Could you just talk about where you expect those margins to be over a full year basis and if is that typical marketing spend quarterly margins for Healthy Direction?
Brian Grass: Yes. I would say that this quarter is not typical with respect to margin, you saw declines sequentially in the margin compared to what we have for the eight month in fiscal year '15 and you are correct if that's largely due to promotions developments of the online business in that channel and we're doing some advertising around direct response and we're also doing some things where when we get new customers we're offering promotions, free product to get on auto delivery. And so what you're seeing is a little bit of a double impact of the cost of acquiring the customer but then also the reduction in sales through the promotion and so that's causing a little bit of compression in margin but we believe there is a future pay off in increasing the customer buyer file and then also getting them on Healthy Directions. And so this is not typical on an ongoing basis, the margin should be -- operating margin should be somewhere between 11% and 13%, so, yes, that should improve on a go forward basis.
Julien Mininberg: And on your growth question for Healthy Directions, while we haven’t published year-over-year comparison haven’t yet anniversaried it, we can't say that it is growing, it's growing in line with our expectation, it's growing faster than any other segment in the company, that's exactly what we were expecting. I can also say that on this margin period-to-period stuff that Brain is talking about as we say in our 10-Q we are expecting Healthy Directions warehouse consolidation project to come online in the back half of the fiscal year and that is on track execution wise and that will be a margin help for Healthy Directions and also help spread some overhead around the company.
Brian Grass: And Bob I'll just take one more point the Healthy Directions or the nutritional supplement segment absorbed $750,000 of allocation that it didn’t have previously. So, that’s also a drag on the margin.
Bob Labick: Okay, great, appreciate that. Okay, I’ll jump back in queue, let others go, but look forward to seeing you next week at our conference. Thanks.
Operator: Next we will hear from Jason Gere with KeyBanc.
Jason Gere: I actually missed part of Bob's early question on OXO. So I guess the first question I was going to ask in terms of the inventory adjustments that you saw out there. If you can provide any color on that? And then just I guess in general, you're talking about some of the A&P spending being higher in the first half, I was just wondering about with OXO on what you might be planning for the back half of the year, how big of a rollout will that be? And then I have an additional question.
Julien Mininberg: Yes, let me start and then I'll turn over to Brian on the inventory one. You've missed I am not sure which part you missed. So just to reiterate OXO you probably remember had a very strong Q4 at the end of fiscal '15 and there were several million dollars of sales that were taking into that period. In addition there was about $1 million of sales that pushed from Q1 now into Q2, so we're enjoying that benefit as Q2 gets rolling. All that said those are $4 million out of Q1 and that is reflected in the OXO top-line number. The inventory side at the customer level also impacted Q1 specifically to your question and we did see a couple of customers making adjustments at that inventory level. That said please don't be concerned we're seeing very strong POS lift or point of sales at the shelf level for OXO in line with or even a little ahead of OXO's historical growth rate, so we see that as trade inventory not in any way softening of consumer demand which is in fact a little bit stronger than what we've seen historically. And in terms of the spending side, we're spending, again I don't know which parts you heard, we're spending a bit on improving the Web site of OXO, taking e-commerce to the next level. We are spending a bit on in-store product knowledge of clerks at the store level because we're bringing new categories online and have new competitors to differentiate our products against in areas like pots and pans now in the GreenSaver type of products and soon enough in the electrics. And then we're inventing significantly and preparing to launch our new products on OXO such as bakeware and also the electric themselves. So these are the kind of things where the money is going and in terms of what it sets us up for is our expectations that we'll see the benefit of those as the consumer demand continues, as OXO continues its proven recipe of maxing out stores in terms of distribution then adding new categories and ultimately also growing international and that's been a good recipe for OXO over many years.
Jason Gere: And then just adding on OXO, so you guys are still -- or have been absent with one obviously large retailer and I guess I was just wondering if you could talk a little bit about any possibility of revisiting that relationship where you sell other products but just not OXO at this point, what we've seen in HPC is that some brands that have never sold there before are finding is to sell I guess maybe a lower price point version of their product to cater to that customer. So I was just wondering just kind of broadly and obviously not tipping your hat, but just are you open to that relationship and is there an opportunity for increased distribution if you are able to kind of proceed with that one retailer?
Julien Mininberg: Yes I understand, first of all starting off you're talking about our biggest customer and one of the largest retailers in the world and first of all we deeply respect them. We have a very large relationship with them that cuts across most of our product lines and we consider them an exceptional customer and partner across all the businesses that we do with them. As we consider the positioning of all of our brands OXO tends to be in the premium end of things in those categories and while we do have a one click down price point line in the software which we sell for example at Target, it's not our intention to introduce a yet lower line to go further in mass and it's not our intention to broaden distribution in that part of the mass channel large though it maybe. It is our intention to continue working the premium end of OXO; you can see that with the electrics. You've probably seen the price points are as high as $299 and that's obviously a different segment a different type of consumer that would buy products at the very high end of those categories. And all that said differentiation is the magic word and we're always working very hard to side off commoditization and that works against the area that you're talking about. So differentiation premium and category expansion international growth we think that's the better recipe and the appropriate one the OXO brand.
Jason Gere: And then just a last question as we think about the M&A environment obviously you're anniversarying now Healthy Directions and that's now going to be part of the organic sales base and now usually you guys are good for good sizable bolt-on acquisitions or as you think about M&A in the use of the cash and where your leverage is right now, do you think more about additional smaller adjacent kind of tuck-ins like you do with Vicks acquisition that you’ve just -- that you did a few months ago or is there a still -- as you think about the portfolio think about a bigger global I guess scale as other HPC companies are now thinking, is there a room to do maybe another leg in the portfolio to get further scale and maybe this would be more fuel to the -- you know fuel for growth kind of cost saving opportunity longer term. So just -- I know you talked about this at the Analyst Day but I was just wondering if any kind of updated thoughts from just what you've seen in the landscape right now from an M&A perspective.
Julien Mininberg: Yes sure. Very interesting question and a good one. Yes we have seen we've seen acquisitions like the Armored 1 from our friends at Spectrum, everyone I'm sure saw in the newspaper the announcement today with regard to Cody and so those are big moves. If you look at our own history what you'll see is both the types of acquisitions that you're talking about conducted within the last 12 months meaning bolting on a new leg that was vitamin and mineral supplements under Healthy Directions and that was a -- I don't know if it's a bold but nonetheless moving far into a new area consisting with our overall healthcare business which is now roughly a third of the company and so a big bolt-on and a big new leg. You've also seen us go close in adding the high margin consumable under Vicks around the VapoSteam and those VapoPad licensed buyout. And so if we're able to do both, it's strategic for us to do both and we have done both. And in terms of our balance sheet you heard Brian talk about our debt ratio now coming down under two times and if you project our cash flow forward what you'll see is the ability to have significant balance sheet flexibility to make large acquisitions should we choose to or also other smaller ones. And then rewinding just for a moment to Investor Day that string of pearls approach that we talked about I think we went out of our way to talk about the string of pearls has to be strategic meaning along the line of pearls but nonetheless can have different size of pearls in it, and ending up with on strategy, multi size, some bolt in, some tucking into our existing businesses and then bolting on new legs it's all available. Jack Jancin was here with us today, spends much of his time combing through that and I can assure you that he and I are in constant contact on opportunity after opportunity and we are literally visiting, looking, trying all of the different ways that appeal to us, when we find just the right fit we'll grab it.
Operator: And next we'll hear from Steph Wissink with Piper Jaffray.
Steph Wissink: I just want to follow up on a comment that you made regarding the M&A to Jason's question regarding the consumable specifically. Could you just talk a little bit about some of the categories that you look at broadly as having that consumables element that would be attractive. And then just as a follow up to that can you remind us about some of the plans around the integration of some of the consumable businesses. Do they need to tie back to an existing business or is that a characteristic that you're looking for going forward as you think about capital deployment.
Julien Mininberg: Sure, yes interesting question. So let me speak just broadly about consumables for a moment. There's two basic types, there's products like you see in our personal care product area, Infusium 23, Brut, Sure, et cetera where the intention of purchasing the product is to consume it and then repeat the purchase cycle hopefully as a loyal user constantly expanding. You know the basing in your medicine chest or bathroom wherever the product may be used and those types of products have been a part of our portfolio for a long time. We're also adding now increasingly consumables that go with devices, so think printers and cartridges and that's where the VapoSteams of the world come in. In the case of that type of consumable you saw us buy in that space close in to your point and not a huge new reach but also to Jason's comment about Healthy Directions, you also saw that the other kind of consumable under Healthy Directions where in this case the device is your body and the consumables are the products that you're buying to constantly replenish the vitamins and mineral supplementation of your health system. And in the case of both I guess the point is we have pursued both of those on strategy for us. In the case of the cycles and how we look at it, we look for the margins to be significantly above average for the category that they're playing in. We look for leadership as a brand name, Vicks and Healthy Directions both pass those tests with flying colors, you see the very high margins on Healthy Directions in the 70% range of the gross margin and you see it above average for us on the bottom-line as well and while we haven't publically disclosed the Vicks VapoSteam margins they're not so different. And in the case of the ability to grow them we look for them to grow faster than the devices themselves and we look for them to be in categories that themselves are growing faster and Healthy Directions and VapoSteam pass both those tests as well and then in terms of the growth there is a magic mathematical fact about high margin consumables which is that as the installed base of devices increases like think laser handles, every year there's more and more handles out there more and more printers, the natural accumulation of the people able to buy the cartridges or our consumable products just grows mathematically. So there's a bit of a math trend in that area. So that's the underlying strategic [logic], it's the math for it and it's also the behavior that we've done. In terms of which category, we're fairly open to be honest, it's amazing the range that we've looked at and to the point before about string of pearls whether they're bolted on or tucked in we've looked at both kinds and we've bought both kinds and we continue to do that and that's our M&A approach. It has to feel right though and we won't just buy it because it has that model, we'll buy it because we think we are able to make it better and then use our shared services platform to take out cost or scale it up.
Steph Wissink: Just two follow up questions more related to the reported P&L. Can you talk a little bit about G&A expense and where we are in that migration from a holding company to an operating company, how should we think about the progress in the margin and leverage area? And then also as the follow-up Julien I’d like to hear your thoughts on the beauty business, how are we tracking? How are the milestones looking there? What should we think about in terms of benchmarks here over the next 6 to 12 months?
Brian Grass: This is Brain. I’ll talk about the SG&A a little bit, I’d say that our SG&A ratio for the quarter is higher than you’d expect on a normalized basis and I think you would -- that would be expected by you and there as we tried to call out there are advertising and promotional and the product development cost incurred in the quarter that will benefit future quarters and so I think the way we’ve tried the kind of picture this or put this in perspective for you guys is on an annualized, more on an annualized basis, not on the quarter-to-quarter basis and I think what we’ve set for the long-term targets still remains true, which is the 30 to 40 basis points of improvement in operating margin and the cost savings that we've kind of outlaid or laid-out for you guys some of that being return to the bottom line but some of that being pumped back into the business for future growth. So that’s kind of the way that I would layout margin expansion and the SG&A costs.
Julien Mininberg: A quick build on SG&A and then I’ll talk about your beauty question. Remember Healthy Directions by its very nature has higher SG&A and nonetheless higher margins than the average for the company on the bottom-line just because we’re fulfilling the orders, there is no retailer in between the marketing and new product development investments that Brian was talking about scripts in his comments now speak to a bit higher SG&A in this first half of the year as a percentage of the sales ratio at their seasonal low point. So there is a just bit of math there and remember the FX comments as we incurred expenses in foreign exchange such as Swiss francs in Europe the sales come in at a lower dollar translation as they come back to us from euros and nonetheless our dollars go up the door in expense in Swiss franc. So that double-whammy effect. So those are the things that I would add as build on the SG&A front. And in the case of the beauty progress lot to like here, we are taking all those key areas that I’ve mentioned a few times and I’ll just touch each of them here, but before I do I’ll just say the quarterly progress is looking pretty good. If you take that 4.7% that Brian talked about in terms of decline first of all it’s in-line with our mid single-digit target that we set for the year in terms of the decline rate in beauty as we try to get back to flat, remember that was an 18 months glide path. And if you look at the impact of foreign exchange which I believe was about 2% of that 4.7% as well as the port strike -- port labor disruption which largely impacted beauty more than our other businesses, those were headwinds of the 4.7 and nonetheless the 4.7 in line with our projections. So we found that aspect encouraging. I’ll also say that if you take the last couple of quarters together the last two quarters of last year and the first quarter of this year that's three in a row at this point and you compare them for example to the first half of last year where you saw strong double-digit decline you can see a deceleration and that’s why I say progress towards deceleration despite the minus 4.7. So, that’s just the comparison in the math and the trend of it. And then you take the other aspects like packaging, new product development, quality, marketing in the other areas that we’ve outlined as the elements of stabilization and we have excellent progress in all of them. If you go to shelf you'll increasingly better products coming online. If you look at our quality we’re making meaningful improvements in some key products and if you look at our packaging you’ll see much better branding, you’ll see fewer SKUs that are more appropriate for the assortment that our consumers want and that retailers will support and you’ll see more statement of benefits and just better branding on the package that are brand blocks et cetera. And if you look at the work being done in new product development while we haven’t put new beauty products on, so the products, it’s only been a few months since we’ve started that efforts there are several that are soon coming to market, we can't wait to share them with you as soon as they ship and we’re seeing nice customer reception at the sell in phase. So it’s nice to see a real innovation being grabbed by customers when it functions we’ll talk about it and hopefully see itself through nicely. And then as an example that did ship in the last couple of quarters is that callus buffers under Dr. Scholl’s that also has the high margin consumable model. We’re distributing that through outside distribution agents and it's just selling well. So there is a lot of examples in beauty progress. That’s had plenty of headwinds and then lastly the reorganization that we talked about here on the call today is significant. We have unified multiple retail sales and marketing organizations. We've kept our professional organization separate but nonetheless unified the ethnic part with the general market part within professional and we have put a shared service concept within beauty and things like sales, finance, marketing services and the few other creative services and few other aspects that allow us to take a bit of cost out and to have let silos within that area. So lots of progress will be made long answer.
Brian Grass: Steph just one more point, going back to the SG&A. We had multiple impacts to sales in the quarter currency the West Coast Port seeing in the shifting of orders from OXO which obviously impacts our operating leverage and makes our SG&A ratio look higher for the quarter. So it will naturally be higher because of those events but as those normalize and we get more on a normalized sales pattern for the year you should the see the SG&A ratio decrease.
Operator: [Operator Instructions]. And there are no other questions at this time.
Jack Jancin: Alright well. Thank you very much everyone for joining our call and for your continued interest in Helen of Troy and especially for your support. We are looking forward to speaking with many of you in the coming days and weeks and updating you on our second quarter results in October and with there being no further questions. Thank you, and have a wonderful evening.
Operator: Ladies and gentlemen this does conclude today's presentation. We do thank everyone for your participation.